Operator: Good morning. And welcome to the Digital Ally Incorporated Third Quarter 2015 Operating Results Conference Call. All participants will be in a listen-only mode. [Operator instructions] As of close of business yesterday, November 11, 2015, Digital Ally Incorporated issued a press release that included certain cautionary language with respect to forward-looking statements. The company would ask you to review the language in the press release regarding forward-looking statements as they are equally applicable to forward -- any forward-looking statements made during this conference call. Please note this event is being recorded. I would now like to turn the conference over to Stan Ross, CEO. Mr. Ross, please begin.
Stan Ross: Thanks, [Dennis] [ph], and thanks everybody for joining us today. I have Tom Heckman with me, the CFO. Tom is going to do a recap of numbers and expand a little bit on those that were in the press release yesterday and then we will follow up with a few more comments concerning the third quarter and little bit insight on to the fourth quarter followed by a Q&A session. So, Tom.
Tom Heckman: Thank you, Stan, and welcome everybody. Appreciate you are joining us today. I will say that earlier today we did file our Form 10-Q with the SEC that’s available on the EDGAR system. I encourage everybody to take a look at that for full disclosures of the events and happenings in the third quarter and nine months year-to-date. What I'm going to do is really hit the key points as I see in for the quarter and year-to-date. I guess, overall, it was a disappointing quarter when you look at what our expectations were and possibly other expectations were in terms of revenues and operating results. But if you compare to the prior quarter -- our prior year quarter, we actually have revenues increase of 9% for the quarter and 25% over year-to-date figures. So comparing to prior year it was a decent quarter from that standpoint, but it was well less in our expectations obviously. Here's what affecting our revenues, first, let’s go over the good point. Commercial revenues have doubled this year versus prior year. We see this trend continuing and its primarily the result of the launch of our FleetVU web-based data analytics package. And what that package does, I think, we’ve discussed a little earlier -- in earlier quarters that it really effectively and efficiently provides management with tools to monitor, manage and train drivers, and keep track of assets out on the roads. So it’s a very, very powerful web-based tool that really has set us apart from our counterparts out there in the commercial fleet industry. It also generates recurring revenues for us right now. We will get a $20,000, $30,000 a month in recurring revenues, but we see that improving drastically in the near future. In fact, we -- as we have talked before, we do pretty much own [indiscernible] this market in terms of our commercial fleet recorder. We've now got a very good foothold in one of the very largest companies in the world in terms of paratransit and transit of people by the name of TransWeb. They've started pilot projects in several of the locations here in the U.S. and we look for that relationship to continue in the future and I think it will very much accelerate our growth in the commercial fleet revenue area. We are excited about that area. Now let’s turn to the some of the problem areas and the first is, our international revenues are very challenge. It’s no secret you can see that from our disclosures and what I -- I’d like to stress though is, the international, way we go to market internationally is very much different than domestically. We operate with a direct sales channel approach here in the U.S. Internationally though we go through distributors. So we don't have nearly control over the distribution that we do domestically. Therefore, our methods and procedures are quite different, and we are looking at how we are facing up with the market internationally. So we can hopefully improve that. The one area that is really outside of our control that's affecting our international customers, our international revenues is the FX, the foreign currency exchange rates with other countries and in particular, our two largest foreign customers are in Mexico, as well as Turkey and let’s look at Mexico specifically. The foreign exchange rates have declined by almost 20% year-to-date and that has had a drastic affect on our the orders that we are getting out of Mexico, not that they are going to be canceled, but they certainly are delayed. Late last year we announced a refurbishment order with our Mexican distributor, blanket order for almost a $1 million, as I see it, they would be shipping sometime in 2015. That’s been delayed primarily because of the problems with the current exchange. And also quite frankly the oil revenues that Mexico is getting as well from their public oil company down there. So we certainly have our issues in Mexico. We are working through those. But honestly, the foreign currency exchange rates are going to have to straighten out a little bit for us to see any sizable improvement near-term. Now longer term we have got other things that we are looking at in others of the world that we are trying to develop and fix that issue. We are also working on a hedging program on behalf of our distributors through one of our banks that I think will help our distributors lock in exchange rates and therefore, pricing with their customers, and I think that will have a good effect on it. But the rates have changed and pretty much the horse is out of the barn already. So we are dealing with what’s going to happened in the future rather than what’s happened in the past. The other area, year-to-date and in the third quarter, the FirstVU revenues which is body-worn camera represented about 20% of our total revenues. We expect that to be much higher than that and the area that's causing us concern there is one of our competitors challenged our VuLink patent during the third -- early in the third quarter. In the -- just to refresh here by the VuLink patent surrounds the automatic triggers of the body-worn camera in car system. In other words, a bidirectional automatic trigger that we filed a patent on. It was issued and one of our competitors has issued a challenge at the patent office to whether that patent should have been issued in the first place. Earlier in the quarter and year-to-date, I think we had numerous press releases of large package orders and by package orders, I mean, in-car video systems with body-worn cameras and VuLinks. So they were sold these packages and one of the big selling points of that obviously is the VuLink that that makes both the body-worn and the in-car systems talked each other and the automatic triggers. Would be the challenge to the patent at the Patent Office. Quite frankly our customers are confused, the public is confused, analysts, message boards and other media. Quite frankly, I have put this information out there, misinformation and flat out fault statements about what that challenge is, what it does to us and what we are faced with there. As a result of that, during the quarter we issued two press releases, hope -- trying to clear up the confusion as to where we were and what was happening in terms of the challenge. First of all, and I’ll walk through some of the major points of those press releases. But first of all, it has no effect on our ability to sell VuLink products. In other words, we are free, we think we have patent on our VuLink product and that would continue whether the challenge is successful or not with the patent office. The question is whether the -- our competitors can sell competing products with our VuLink. That is the question that's been posed with the challenge of the USPTO. We have got many opportunities and avenues to challenge and retain our patent and we're doing that. We did, meet with the patent office and offered our defense to the patent that was issued to us and is currently being considered by the patent office. We still believe, as we said in our press releases, that at least material portions, if not the whole will ultimately be confirmed in reexamination. So we believe very strongly that that we will get patent protection on our VuLink product. In fact, we believe based on discussions internally and with counsel that we will get some clarity here in the near-term. And by near-term, I mean, within the next -- possibly in the fourth quarter and certainly by the first quarter of 2016, we will get some clarity as to what the patent office thinks of the reexamination. And based on the results of that, it will change the competitive landscape of the body-worn market and actually because it links to the in-car system it will also affect the competitive landscape for the next couple of years on what happens in the in-car video system market as well. If our patent is confirmed and obviously, we have a strong competitive position, if it's not we're still competitive, but we have to compete with the other players in our industry on equal basis if you will. One thing I will note that the automatic trigger is seem to be coming more and more standard for the industry. I would say that nearly 100%, if not 100% a bids we are receiving right now request information and/or bids containing automatic triggers. Our VuLink product versus the competitors at this point. So clearly the market is moving towards an automatic trigger, such as our VuLink and if our patent is confirmed upon reexamination than that’s a very, very big inflection point for us in terms of our competitive landscape in our market. Moving on, we have got, gross margins were reduced to 40% in Q3 versus roughly 60% or 58% in previous year. So we've fairly well described that in the press release. But what we did, during the quarter we made the decision as a company to upgrade our connector to actually the highest value connector in the industry in terms of the body-worn camera. This is the connector that connects our DVR to our second -- our camera head if you will for body-worn camera. This affected all of the deployed units we had in the field plus what we had in inventory. All in all, we had to rework over 10,000 units. So the costs were substantial, causes $850,000 roughly in the third quarter that went directly against our gross margins. I'm happy to report that that the results that we have seen as a result of this upgrade is as intended, it’s improved the functionality and reliability of our body cams out there. The good thing is that the positive effective of that will be seen in future quarters. It should reduce our returns and also the burden on our tax imports to help our customers deploy those units. So we think we took the hit in the third quarter and that will help us in future quarters reduce the cost of repairs and warranty returns on the FirstVU device. Looking at SG&A expenses they were elevated in Q3 versus prior year and a couple areas I will mention specifically. One is we have added personnel. We've added five people in our commercial sales division. These are direct sales people and obviously, we are growing year-over-year over 100%. We’ve doubled year-to-date, so obviously, those are needed and wanted increases in the headcount in the commercial side. We've also increased our tech support area by over 12 headcount from prior year. That's really to support the increase in installed base that's out there, both for the FirstVU, the body-worn project, as well as VuLink and our in-car system and also to help with the storage methods that our agencies have. The IT -- and we are getting deeper and deeper from a technical support area into the IT infrastructure of the agencies. In other words trying to develop and assess what they need to store the video generated by these systems either internally or through the cloud. So that’s what's an increase in tech support headcount in 12 over prior year. We've also had increased stock compensation and that’s primarily the timing of the restricted stock grants to employees. As the grants during 2015 were times where our stock level was higher, market price was higher, which basically lead to more expense being amortized over the period of service. So that number can and will move around on us. We expect SG&A in the future to be more in line with revenue increases, since we are on a fixed verbal basis, especially with our sales and commissions. Looking at our non-operating expenses, they are more normalized in the third quarter, that’s primarily because of derivative issues that really played havoc with our P&L in prior years and prior quarters or gone now that the conversion happened, the full conversion of the convertible debt in early 2015. Now we are dealing just with the normal interest expense, interest income and small debt of other income. A couple things that happened during the quarter, we did completed $12 million at the market direct offering in Q3. The net proceeds were right around $11 million. That offering price of $13.43 per share in retrospect is a pretty good price obviously. In attached, the direct offering rewards of the 1,000,005 million shares. Those were also priced $13.43 a share. So in the future, as those warrants are exercised, they would be paying us $13.43 a share for those. The warrants were issued without any type of ratchet or any dilution provisions. So there's no derivative accounting on those. So we don't have the same issues we had on the convertible debt in prior years. Of the proceeds of that offering, we used $2.5 million to pay off the remaining debt that we had. So at this point, we're debt free, which is a good feeling to have in the market we were dealing with it right now. Actually the offering, the effect of the balance sheet was propounded at September 30th, now we’re sitting around $8 million in cash, $21 million in positive working capital, again no debt on the balance sheet and $21 million in stockholders equity. So the results of that offering were enormous on our balance sheet, really showed up any possible weakness there. Couple of other items I’ll mentioned that happened in the quarter. We did resolve our litigation with DragonEye that involved Laser Ally LIDAR gun units. We resume sales of that now and we’ve got that behind us. There was no exchange of moneys or anything. For that, we both got what we wanted and now we’re offering the Laser Ally to sale. The other piece of litigation that’s out there is utility litigation. If you member, they had send out threatening letters to us and our potential customers and customers claim that they had a patent on -- that that we were infringing. We disagreed with that. We filed for an IPR to the patent office. That IPR was granted. It validated the patent all but one claim and that remaining claim has no effect on us. So it was a complete win for us. We were happy to get there. As a result, we are aggressively pursuing damages from utility and other responsible parties resulting from the threat letters that they sent, the damage they did through our business during that time. So obviously good outcome to utility situation that is ongoing. Right now, we are in discovery and discovery I think closes sometime in February. So that litigation is proceeding very nicely and in terms that we like. And that -- with that, I’ll turn it back to Stan.
Stan Ross: Well, done Tom. Well again I’d like to just make a couple of comments and then we will open this up for Q&A. But the international market is probably the area that is most concerning to us. And I think Tom touched on it with the valuations of the dollar being the biggest hurdle that we have to overcome them. We’re working on that. We were anticipating with the purchase orders that we had. From Mexico alone a little over $2 million we had, another million from another party that was earmarked for this year. And we said there was guidance earlier in the year of about $25 million, in which we thought approximately $4 million would come from international. That seems very unlikely. While our domestic business continues to grow and grow well and right on track and our commercial business continues to be right on track. The international is just again very hard to predict. So I think there is a shortfall in regards to us hitting our number. It’s clearly going to be because of lack of international sales. We will again touch on the patent that’s out there. That’s been re-examined again. We re-issued two press releases trying to stress that it’s just a re-exam. What it basically did is, the patent office wanted to take the conservative approach and sometime they say okay. There maybe something here. Let’s look at it one more time. So we feel that after the patent office sales had a chance to have gathered. And if we’re successful in the patent standing that again it will probably be stronger than ever because it has been able to do that on two different occasions now. So we look forward to finding out what the outcome of that is going to be and to anticipate again not knowing the timing but shouldn’t be too far out before we have some kind of feedback on that. That of course you may get a big, big unique piece of what we have to offer here at this as far as our products. Not only that we always have had real strong back office and file storage and case management solution, the fact that you have a device that will assist in officer in regards to making sure the body cameras order in car systems are on and functioning when an incident occurs. It’s is a very attractive piece in a tool that helps them do their job. So we're very excited to see how that plays out. But even if they would go against it, it does not mean that we cannot continue to offer the VULink and sell the packages as it. We would not be validating anyone patents because it's only the others that maybe ignore us. So with that being said, Dennis, I think I like to go ahead and open this up for Q&A.
Operator: [Operator Instructions] We have a question from William Gibson from Roth Capital Partners. Please go ahead.
William Gibson: Hi. I’d like a little more color on your statement of continuing pressures on sales going forward because of the patent dispute. If I'm a law-enforcement agency, why would I delay a purchase just because two different people are offering the product or is that a price competitive threat on the other side from your competitors?
Stan Ross: Both the things, Bill. It is that what -- there is some confusion out there on who really owns this technology. And there's been quite a few articles written matter of fact, we even had to send a letter to the parties that maybe effort to have the patent reexamined that they have the reps out there showing articles that were written by others. Let’s take that summaries in digital is unsuccessful in getting this patentable reinstated, I guess, it’s still stated but they would have to go and negotiate with the third party. And that’s just not factual. But these comments and articles have been out there. They have utilized them in the marketing effort to stay look, why do you want to do some of the Digital Ally, they may end up in a patent lawsuit and it can happen you may be then filing the patents. So it's gotten to that point where people, our customers, our shareholders many are confused on what is the factual understanding of the VULink. And so they are either taken -- they want to sit there and take a risk, they are, I guess, jumping on the biggest wagon and versus the one that which we think we will prevail.
William Gibson: Okay. That helps. And then just one follow-up question. I know seeing your 10-Q, commercial revenue is about 10% of revenue through nine months. What’s that percentage in the third quarter?
Tom Heckman: Third quarter revenues for the 250, roughly 7%.
William Gibson: Okay. So despite the year-over-year increase, it’s not up dramatically on a quarterly basis?
Tom Heckman: Well, it was only 2% last year. So it's more than tripled than last year.
William Gibson: Yeah.
Stan Ross: It’s a smaller -- Bill, it’s a smaller number that are working off of -- excuse me -- so the percentages are big but we see traction there. We see a trend that's developing with people that when they understand and see examples of how our FleetVU software works and our asset tracking software works together with the video, it is quite unique and it's quite powerful. It really is an efficient way to manage, monitor and train your workforce, your driver force. They are actually and be abided to quite a few of seminars that are the -- sponsored and conducted by insurance companies for fleets and having us talk about this tool that can help their fleets in regards to the driver safety. And so it seems to given a tremendous amount of traction and also one thing I'll add to that a pretty good portion of the revenue generated from the commercial fleet market is recurring revenue. In other words, it’s sold on a monthly basis so the revenues we can count on month in, month out using over 36 month period of coming in. So it’s not just selling a product, it’s a recurring service revenue which we live and I think hopefully investors like as well.
William Gibson: Good. Thank you.
Operator: And our next question is from [Steve Olson] [ph] from -- he is a private investor. Yes. I got a question. I know this is a side issue but there was an analyst yesterday that put a report expecting a first profitable quarter. Stock jumped up a lot and then just kind of an odd issue. I don’t know if you can comment on it but I know analysts are allowed to project but there is something about it didn't feel right. Can you comment on that?
Stan Ross: Yeah. I also don’t have much of a comment. This is Stan. I currently was traveling when I seen the stock making its move. And I actually called and was enquiring about what it was and we've been setting things up more like Seeking Alpha that was out there. So I didn’t get chance to read the article but I don't have a good -- I don’t know if you got -- [indiscernible].
Tom Heckman: Actually by design, analyst use their own judgment and view of the situation and obviously they don’t have purview to what’s going on inside the company and shouldn’t quite frankly because they are third party. And we keep those Chinese walls, if you will, up and it was the timing was unfortunate but obviously we weren’t involved in that. Okay. Thank you.
Operator: And our next question is from Gerard Cohen from JM Cohen and Company. Please go ahead.
Gerard Cohen: Yeah. Just two questions. One, just with everything I know you said you increased your cost. So has your breakeven gone up because I think before your breakeven was around $5.5 million?
Tom Heckman: Yeah. On an EBITDA basis, it has gone up a tad. You are on our operating cost basis on the true financial includes all non-cash charges. That thing moves around so much because of the stock comp and other non-cash charges in that. But from an EBITDA basis, I think it has gone up a tad, not, not whole lot but probably maybe $5.7 million roughly. But we are looking at SG&A cost, we are going to try and pull that back in. But the areas that were hard cost, true cash cost were spending in good areas in my view. It was the sales channel, sales burn and how we score off of the market both domestically and we’re looking at ways to score off better internationally as well as our tax report. We want to support our customers in any way that we can. We want to be very responsive and quite frankly, think most businessmen will agree with that it’s much easier to keep a customer than find a new one. So we want to take care of our customer base in every way that we can. And we’re providing the resources. We’re ready to do that.
Gerard Cohen: Okay. And just secondarily, how your product differentiates from some of your competitors besides the VULink just because of what the ability VU was swapped batteries or you’re charging capabilities. And the interaction between the wearable camera and the link up with the car?
Stan Ross: There are so many areas where I think we differentiate. So I mean, whether you’re talking about the fact that we probably one of the true total solutions companies out there. We were doing In-car systems, I think we’ve got 55000, maybe even pushing 60000 In-car systems out there in the market place. We’re pushing over 12,000 body cameras. We have a very sophisticated back office solution for your own server and/or cloud solution including redacting and other features that are state-of-the-art in regards to our products versus others. There are a lot of technical advantages as far as video quality, recordability, battery life. We feel like we've got a real nice suite of products to where we can go into a department and just fully meet their needs, not only for their end car but the individual officers, their interrogation rooms, their transport vehicles, all the above. So, we think we are right in there. We are priced real competitively. We have -- if they want a cloud storage solution, we have a very competitive pricing there as well. So all in all, we like the competitive landscape, if we get a free -- if we get a really good shot at it. Some of these -- this is where we get back to these bids. Now, a lot of them, as Tom Heck mentioned, are talking about this automatic triggering functions as being pre-requisite have granted. We can sit there and meet that requirement. But there is a misunderstanding out there who owns that technology and I think what’s going to happen is either Digital Ally owns it or everybody owns it. We will just wait to see what the patent office says on that. But either way, we still get to sell and we still get to play in the game.
Gerard Cohen: One last thing, how many customers would you say really deferred orders this past quarter, just because of what happened with the patent issue?
Stan Ross: Oh! Gosh. It’s hard to say in terms of numbers of customers. But again, our first few revenue was roughly 20%, both year to date and quarter to date. Our internal forecasts were more like 40%. So, we expect it to double on the first few revenues as compared to what we actually got. Those were delays for some other reason it's hard to say. We can’t get in our customers’ head that closely. But it did have a significant effect. We had to generate letters of -- standing behind the products, also forth. Those are the kind of things that we are aware of. But these companies -- clients who want to work with us and they already have our in-car systems. So they want the body cameras as well because they are familiar with the back office. But again, we went as far as happen to generate letters stating that look, we are not violating any patents in regards to the VuLink and to get uncomfortable enough to go ahead and release the PO.
Gerard Cohen: Okay. All right. Thank you very much.
Stan Ross: Others probably just didn't say anything and just today, I was talking, take the chances and move on.
Gerard Cohen: All right. Thank you very much.
Stan Ross: Thank you.
Operator: [Operator Instructions] We have a question from [indiscernible]. Please state your name and your question. Hi. This is [Ed Stark] from [indiscernible]. Hello. Hi. Stan and Tom, I have a question surrounding guidance. From the Q3 numbers, it’s pretty evident that you are going to fall short of guidance. How much are you expecting for the full year now?
Stan Ross: I would sit there -- and here's how I feel about them. Tom, you chime in. But I mean, I don't have any confidence in international right now. I mean, I just don't have it. We anticipated about $4 million to come from there, sitting on a $2 million IPO and sitting on and verbal commitments of over another $1 million. Us to squeeze out that $4 million would have been that hard of the deal we believe. But right now I mean, Tom, an irony that international sales totals $200,000. And so, I think you’ve got just basically look at just what we are capable of doing domestically and if you are backing out that $4 million, we are going to come in around north of $21 million roughly. Okay.
Stan Ross: I’m surprised there but that’s how I feel about it right now. Sticking to the international revenue front, so I had like in the -- for the first nine months, you had like revenues of around $114,000. And you just mentioned like $200,000. Do you expected to grow bigger in Q4? I mean like so far in Q4, how is it trending so far?
Stan Ross: We have weekly meetings about this, Ish. Matter of fact, we met this morning and again, that's one of the first things that was out there. And while we are hearing that we are getting this distributor saying, yeah, they are ready to go. They are just waiting on for funding and things along those lines and you just don’t know. We've heard that for longer than a year on some of this stuff.
Tom Heckman: Yes. This is Tom. I think this core FX issue. It is a huge issue, not only for us but for all companies. International revenues are challenged across the board, not only in our industry but other industries, especially in some of the areas that were heavy in i.e. Mexico that is an old independent economy. So they are dealing with two problems there to deal with. We have other distributors in Central and South America that seem to be coming on. But we don't have a lot of history with those and we can't place a lot of confidence on what they are telling us. We are waiting to see not only PO come in but the cash come in. So, we can analyze it and that sort of thing. Long story short, we are gun shy on doing much with international until we get the cash in the bank. On the commercial front, I think you previously said that you expect revenues of around $2.5 million to $3 million for the full year on commercial. Are you updating that as well?
Tom Heckman: I think that’s still on track. Yeah. And that’s more than doubled from last year. And if anything, it might accelerate but we are not really to say that for sure.
Stan Ross: Yeah. It’s still on track, Ish. Okay. On expense controls, your expenses are up quite a lot compared to your revenues. Are you implementing some form of expense controls in Q4 and maybe 2016?
Tom Heckman: Yeah. We are always looking at expense control. Some of the big increases over non-cash items and we don't have a lot of control over i.e. the stock comp. And that has really a function of when the restricted shares are issued and you evaluate with the market price dates. So, we don’t have a lot of controls over that. But on the cash side, the cash expenses, you bet, we are looking at those closely. Like I said before, we are spending in the right places we believe, where we are allocating the resources to the areas that hopefully will bear fruit down the road, i.e., tech support and salesman. So, we think we are spending unwisely. But obviously, we look at it every day, every week and try to do a better job there. All right. Thank you, guys.
Stan Ross: Thanks, Ash.
Operator: Your next question is from [Ira Thomas]. She is a private investor. Please go ahead. Yes. I think Ferguson, Missouri was the first jump police brutality allegation incident in the country that really set this industry up on the stock, when it started growing crazy last year. And then there is a couple of subsequent ones? What’s happened over, literally in the last 8, 10, 12 months with repeated incidents, at least two or three that I can think of that this stock, not just this company, TASER and the others, why has it not reacted like it did back then? Is it just that the sales are just not happening, the polices forces aren’t upgrading? What do you attribute to it? With increase in all this police brutality incidents does not have an effect in the stock prices of this industry?
Stan Ross: Yeah. You’ve got it. And I think people have just gotten a little wiser in regards to the fact that the outrage and the need and the want for the products are clearly there now. And it's a matter of the budgets being put in place to allow that to happen, which at the end of the day will affect the stock price due to -- it will increase sales and profitability so and so forth. But you just nailed that. I think Florida earlier this week passed legislation mandate and also a funding associated with it. We had State of Illinois have just now put a program in place where they are going to charge $5 for every traffic violation to be utilized for the body cameras and I believe in-car systems as well. So it's a matter of -- people are realizing, yeah, this is going to be a very desired product in the industry for the next several years until everyone gets outdated. And even then the upgrades like in-car systems have been for over the last 20 years. But it's all a matter of funding. And they are either finding a way to reallocate funds or they are reaching out to government grants and state funding to get the capital outfit to outfit their officers. If the process doesn’t work quickly, we are dealing with the politics side of it. But the capital is becoming available to our industry and they are buying. What percentage of -- there is a lot of fitting in this industry. So you might not have this answer. But what percentage of police forces are currently active with these body camps?
Stan Ross: It’s a small number. It’s a small number. You look at the fact that -- I’m just using some round number but I would say there is a million police officers out there we've only sold 12,000. And TASER’s the big boy out there and maybe they have sold 30,000, 40,000. Again, you probably are clearly less than 10% penetration and a lot of that's you know trial and error even. So, they are going to have people that -- they've got the older systems that are the standard video. Those are one upgraded now to high definition video. You got those and you don’t want to utilize, RFID capabilities. So they know for sure who shot the video, what officer was wearing the product bundling, which by the way a patent on. So it’s in a simple thing as far as body cameras. And then if you get to in-car systems, there is several ways to looking at that. If you're looking at today's technology -- in other words, a solid-state in-car systems -- man, I bet it's. A lot of the them had the older DVD burners or hard drives. Obviously, I would say the state-of-the-art systems are still less than -- 25% of vehicles have that. So the technology has changed a lot over the last 3 to 4 years and there is a tremendous amount of upgrading that is going on right now. Let alone just the beginning penetration into certain areas of the market. Yeah. I don’t want to hog. But I mean just follow-up that, you last conference call after last quarter’s earnings you mentioned about the lead that you had on TASER technology wise. I forget what it was six-months, eight months, I forget. But as the further we go into time before they allocate budgets to these states. I mean, are we going to still have an advantage over the better product when the purchasing hopefully start coming in.
Stan Ross: Sure. Good question. I mean, the bottom line is, if you look at our financials, we are still very aggressive with our research and development. As I mentioned, recently we announced an RFID patent we received. We have numerous other applications that are in there of new products and product designs, features that we've included. So, we still feel that we are doing a great job of trying to be an innovator in this market, one of the leaders in regards to the technology side. And again, I will get back to -- if you want to use TASERS, there is some of the talk about again, you look at their design and their batteries dead, their units dead. That means that officer, if he is mandated to sit there and have a body camera on him at all times when he’s in out in the field or whenever, he is only got a four to six hour shift he can work before he is put on another unit, we will start charging his. There is a whole list of features that we -- we just want to -- if we get a shot to play on the competitive field, we're very excited about our odds. Yeah. Okay.
Stan Ross: Thank you.
Operator: And our next question is from Jeff Goldberg from Four Points Capital. Please go ahead.
Jeff Goldberg: Good morning, gentlemen.
Stan Ross: Good morning, Jeff.
Jeff Goldberg: Two part question. Obviously, your thoughts on TASER and obviously and it seems like that’s a topic of everybody’s conversation. But they have dropped their costs of their entire systems, which is immediately had a negative impact on their margins. Will that have an impact on your future POs potentially?
Stan Ross: We think that this just sort of came down where the industry sort of is pricing a lot of their stuff. We’re still very comfortable where we’re at with our price. We think we’re very competitive when we’re out there pricing -- let’s just call it a system similar. In other words, a body worn camera with cloud storage. We think that we still can beat them by over 30% and provide a better product. And still have the kind of margins that we've been able to show on the past. Again, we’re cradle-to-grave designed company. And we absolutely do it all here in Lenexa, Kansas and have the capability and access to some of the latest and newest chips that have a lot of capability. We have our programmers and guys to where -- when there is an opportunity to make improvements on a design, we can react quickly. And especially with those improvements, they are not only for the betterment of the product but also cost savings. So, Tom, you chime in on that as well, your thoughts on it?
Tom Heckman: Yeah. I mean this industry is much like all the industries. Technology is moving. I mean, we’re working on new technology every day. They are working on new technology every day. So it is going to move from a technological basis. The costs, I think will be on the decline long-term, very similar to the seller industry. And that’s kind of the mode that I think some of our competitors are in where they’re in a land-grab basis, they’re trying to get the footprint out there. So, they get the storage revenues in that. That works for some agencies. Others don't want to go that route. They want the traditional local storage, which was layering I believe. So, yeah, the technology moves, the approach that TASER and others have taken is quite different than ours and although we can compete directly with their own type of marketing package.
Stan Ross: Yeah. One more comment too that is out there is -- and because I think again, this is somewhat misleading ones. You see statements out there that large municipalities have entered into a five-year contract. Well, technically, those contracts, most of that we've seen is a one-year contract that has four one-year renewals. And so if they find that the pricing or the quality, or a number of things are not as what they were proposed or lived up to be that gives opportunities like, it gets our allies of the world to still step in there and have of shot at presenting something and taking that business away. So, I could tell you that we know -- we've been contacted by municipalities that have already made headlines of hooking up with other companies in the past, maybe little premature with us, not having a shot to even getting there and bid. And now that they’re coming up to the one-year anniversary, they are doing a little more due diligence and looking at the costs associated with the original proposal versus what some other competition could provide.
Jeff Goldberg: Right. But we’ve had a difficult time getting our foot in the door and that’s the issue. It continues to seem to me at least that the headlines are stolen by other competitors as opposed to Digital Ally. Hence, while we’re looking at stock down almost $2 today. And I understand what you're saying but obviously, there has to be that competitive edge to get in the door. Last question. And again, I wish you the best of luck. Hopefully, capturing some of this market out there, any notice or any more information on that stock buyback that you had implemented a couple months ago, a couple quarters ago, have we fulfilled any of those shares?
Stan Ross: Yeah. So where we’re at on that is again because of some of the -- I guess, we have to operate the company in regards to the stock buyback program, the same as an officer or director or as black-out periods and stuff along those lines because of inside information that we have. Unless you have a plan that’s in place, which just sort of runs on automatic. With some of the misinformation that was out there and some of the stuff that hit the street, we were unable to put in a -- what you want to call it just, yeah, sort of a 25 traditional just buying no matter what if it hits actual wire as a plan. So when the window opens back up, we will be able to implement a plan that will allow us to come in there and take advantage where we -- where the Board thing is an opportunity to buyback some of the stock. So, in short, we haven’t been able to do anything yet.
Jeff Goldberg: No. Appreciate the heads up. And again, like I said, I hope to hear some better news over next quarter or two as we start to see again these dollars being released? Municipalities are going to be making their move in my eyes and if we’re not at the head of the pack as that speaking with this story before, we’re going to lost in the dust and I’m hoping that doest happen.
Stan Ross: We totally agree with you and definitely recognize the urgency of making sure that we’ve got our foot in those doors.
Jeff Goldberg: Good luck, gentlemen.
Stan Ross: Thank you.
Operator: And our next question comes from Gerard Cohen from JM Cohen and Company. Please go ahead.
Gerard Cohen: Yeah. Just a follow-up question just on your guidance. If you sort of back out what you said about the international business, would you feel and just some of problems you had with some of your competition, would you feel that you looking back from the beginning of the year sort of what have made at least domestically your guidance or come close to it?
Stan Ross: We still feel like we will domestically hit our guidance in regards to what we had on our books for as domestic business. The area that we’re going to less something amazing happened is kind of short as international. I mean commercial is right on track, domestically right on track. It’s the international. That $4 million worth of business that, to give you got to realize, we had, as Tom mentioned, we had fields in hand just not funded, probably in excess of $2 million that going into 2015 and they just have not came through. So, yeah, we feel very good about domestic and commercial being on track. And then we even had a little cushion in there, obviously, but try to, to make sure and meet those goals.
Gerard Cohen: All right. That’s all I wanted. It get clarified. All right. Thank you very much.
Stan Ross: Thank you.
Operator: And our last question is from [August Berman] [ph] from Private Investor. Good morning.
Stan Ross: Good morning. Hi, Stan. So I had a question about the IACP, I know the most recent comments, TASER released the Axon Fleet for -- I think it was $500 for their in-car camera system. Have you heard from customers or potential customers about pricing your product and their product for bids in terms of would you guys be lowering your prices to more compete with them?
Stan Ross: No. So here is what we’ve seen. They had a very large booth. They had everything behind walls. We are aware of people that went through there and basically heard the pitch of what they were planning on doing and here is your tickets to our free party tonight. Far as their in-car system, they had an area where they were displaying technologies from several different companies. And in short what we were able to see is they had their in-car system, which basically look like the body camera installed in the cradle that is virtually suction cup to the windshield and they called that an in-car system. I don’t -- you couldn’t find out anymore information. I mean, is it capable of having integration with radar, lidar? Does it -- what about all the other integrations of other technologies that in-car systems utilize. None of that information was available and we haven't heard of a single customer yet that has with that route first in in-car system. Okay. As far as technology is concerned, you’re not really worried about that product competing with yours?
Stan Ross: To me, if they want to go that route and they can -- we can call our body cameras and in-car system if you want to put it on the suction cup. That's basically what I took away from what I've seen at the show. Okay. Thank you.
Stan Ross: Thank you.
Operator: And our next question is from Larry Netherland from Netherland Securities. Please go ahead.
Larry Netherland: Hi. Good morning, guys. You mentioned the advantages that your products got the better life except what are the advantages do you’ll have over your competitors?
Stan Ross: Well, Larry, I mean a lot of them still using standard video as far as their definition stuff we have. We use high def so we have a lot better clarity. We have in some situations a lot better angle of view. It just depends on who you're going after. You look at the size of our unit and the flexibility of multiple camera mounts, in other words, do you want a button/chess mounted, you want it on your shoulder, you want at point of view on your --just a lot of different features that we have that a lot of our competition does not. I mean most of them are still out there that I'm aware of that they’re selling in a single unit device in which was one of the product that we would had and introduce too if that is what you desire just a single unit and not a unit where you put the DVR on your belt and/or in your pocket and then have the options of different cameras. We have that capability as well. So just a lot of flexibility on the video quality, the time of recording, the flexibility of batteries as far as keeping your unit out there versus happen to put it in a cradle to charge, things along those lines.
Larry Netherland: So what is your battery life? How long?
Stan Ross: So you have to depend on what units are you talking about like if you’re looking at the single unit device, you can easily get one that can go up with extended battery of over 12 hours.
Tom Heckman: But really the uniqueness of ours versus many of our competitors are not all amazing. Its feel replacable, you can pop the battery out and put in fresh one out in the field in a matter of seconds whereas competitors models, you have to go take the whole unit and sticking on a charging pot and wait three or four years to recharge,
Larry Netherland: Yeah. Good point.
Stan Ross: That’s the biggest difference. The battery life, everybody is dealing with the same law of physics on batteries. Our consumptions probably little less than others but noticeably no. the big difference on that is the field replacement opportunity that [LARS] [ph] presents where -- I’m not aware of any other competitors out there that have one that could replace in a field and you’re awfully going again. Just like if it is, if an agency has a policy that whenever the officer is on the street, he has to have his -- he or she has to have his body worn camera recording. You’d have to buy three or four as the competitors models to cover our whole shift or a whole day. With ours, you buy one unit and you just pop fresh batteries in every three or four hours. They have got over 32 hours high definition recording capability on the unit itself but alone being able to download real quickly when they get switch during the shifts.
Tom Heckman: So I mean, that’s the basic difference. So the batteries, everybody is dealing with the same technology, the same capacity issues and the size weight issues in that, but really it’s the field replaceable opportunity we propose.
Larry Netherland: Okay. That’s what I was looking for. Thank you very much.
Stan Ross: Thank you.
Operator: And ladies and gentlemen, this will conclude our question-and-answer session. I would like to turn the conference back over to management for any closing remarks.
Stan Ross: Thank you, everybody for tuning in today. We look forward to our next call that we’ll have at the end of the year. We may have some occurs newsworthy. We will put together another call. We will also always anytime, need us pertinent, get out press release out there. But if you do have any questions, feel free to give us a call. And again, we also want to thank all our sponsors that have been involved with Digital Ally in the Digital Ally Open in regards to our following First Responders campaign foundations that we’re proud to be part of and donating to. So thanks everybody for your time today.
Operator: To access the digital replay of this conference, you may dial 1-(877) 344-7529 or 1-(412) 317-0088 beginning at approximately 1:30 PM Eastern Time today. You will be prompted to enter a conference number, which will be 10075832. Please record your name and company when joining. The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect your lines.